Operator: Good afternoon. My name is Heidi, and I will be your conference operator today. At this time, I would like to welcome everyone to the Las Vegas Sands First Quarter 2017 Earnings Conference Call. I will now turn the call over to Mr. Daniel Briggs.
Daniel J. Briggs - Las Vegas Sands Corp.: Thank you, operator. Joining me on the call today are Sheldon Adelson, our Chairman and Chief Executive Officer; Rob Goldstein, our President and Chief Operating Officer; and Patrick Dumont, our Executive Vice President and Chief Financial Officer. Before I turn the call over to Mr. Adelson, please let me remind you that today's conference call will contain forward-looking statements that we are making under the Safe Harbor Provisions of the Federal Securities Laws. The company's actual results could differ materially from the anticipated results in those forward-looking statements. In addition, we may discuss non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures is made available on our website. We also want to inform you that we have posted supplementary earnings slides on our Investor Relations website for your use. We will refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in the Q&A session, we ask that you limit yourself to one question and one follow-up question, so we might allow everyone with interest to participate. Please note that this presentation is being recorded. With that, let me please introduce our Chairman, Sheldon Adelson.
Sheldon G. Adelson - Las Vegas Sands Corp.: Thank you, Dan. Good afternoon, everyone, and thank you for joining us today. I'm pleased that we delivered a strong set of financial results, with company-wide adjusted property EBITDA reaching $1.15 billion, an increase of 25% over the prior year. Fully diluted earnings per share increased by 50% over the prior year to $0.60 per share. During the quarter, we again generated strong cash flow across all of our operations, with solid growth in both Macao and Las Vegas. Our Macao operations grew its EBITDA by 20% year-on-year, driven by 17% mass gaming revenue growth. Marina Bay Sands continues to deliver strong cash flow. Adjusted property EBITDA was up 33% for the quarter. Our Las Vegas operation delivered its best quarter since the first quarter of 2008. The resilience and consistency of our cash generation reflect both the strength of our business model and the geographic diversity of our cash flows, which in turn underpins our balance sheet strength. Accordingly, we can continue to return excess cash to shareholders while investing in our existing assets and maintaining our ability to fund new development opportunities. I remain as confident as I have ever been in our company's prospects. After a challenging period, the Macao market is growing again and its growth rate has been accelerating for three consecutive quarters. Our Macao operation is experiencing strong growth in both our mass gaming and non-gaming segments. And we have successfully established a new landmark must-see destination resort in The Parisian Macao. Our Macao mass gaming table revenue growth rate was 18% this quarter, up from 16% in the fourth quarter of 2016. The Parisian has not only helped us drive this double-digit revenue growth, but has also greatly enhanced the critical mass benefits of our interconnected properties on the Cotai Strip. Our visitation expanded 30% year-over-year in the first quarter, reaching 21.2 million visits across our portfolio, compared to 16.3 million visits in the first quarter of 2016. On a daily basis, that translates to a daily average of nearly 236,000 visits across all our properties in the first quarter of 2017 compared to a daily average of approximately 179,000 visits across all our properties in the first quarter of 2016. Our SCL retail mall revenues also grew nearly 24% in the quarter compared to the first quarter of 2016, reaching $118 million for the quarter. Our strategy was to create a critical mass of interconnected resorts for Cotai, creating what we have trademarked as the Cotai Strip. With the completion of The Parisian, we now have almost 13,000 hotel rooms in four interconnected resorts, over 840 stores across four shopping malls, 2 million square feet of meeting and exhibition space, and four performance and event venues, including our Venetian Cotai Arena, which can be utilized either for our MICE business or for major entertainment events. This critical mass of product and amenities allow us to cater to virtually every type of visitor. Business and leisure visitors to Macao will be able to enjoy all of this and more under one roof at one destination without ever leaving the building. Our unique ability to generate consistent and industry-leading cash flow supports our balance sheet strength. That balance sheet strength at 1.8 times net debt to EBITDA at the end of the first quarter allows us to stay fully committed to our development plans while continuing to return excess capital to shareholders. Again, this is unique in our industry. Now let me give you some additional highlights of our results in Macao for the quarter. Quarter one adjusted EBITDA for our Macao operations was $624 million, an increase of 20% compared to the prior-year quarter. Overall net revenues increased by 15%, driven by growth in both the mass gaming and non-gaming segments. EBITDA margin expanded by 140 basis points to a market-leading 33% as we benefited from ongoing cost efficiencies and improved business mix. Despite the significant increase in Macao's gaming and hotel capacity, compared with the prior-year quarter, our mass table gaming revenues grew by 18% year-over-year and our non-gaming revenues grew by 22% year-over-year. We experienced broad-based gaming growth across both premium mass and mass segments, driving increased patronage with hotel accommodations, shopping malls, and entertainment events. Hotel occupancy across our portfolio increased by over four percentage points this quarter compared to the prior-year quarter to 82% with occupancy in the 90s on weekends and holidays. This growth in occupancy occurred despite 8,000 new hotel rooms being added to the Cotai market over the last two years, including 3,000 from our own Parisian. Our total occupied room nights increased 13% compared to the first quarter of 2016. This includes growth from The Parisian and contributions from our other properties, each of which delivered a higher occupancy in the first quarter of 2017 compared to the first quarter of 2016. Same-store room nights also increased, even after considering the room nights for The Parisian. It's important to note that 8,000 new hotel rooms in Cotai have now been successfully absorbed in the Macao market over the last two years. Despite the new competition on Cotai, we've retained our scale and critical mass advantages during peak periods. The higher hotel occupancy positively contributed to both our gaming and retail revenues. In a market where peak periods, the weekends and holidays, matter more than ever before and where mass market customers will generate the lion's share of future revenue and profit growth, our capacity advantage was further strengthened by the addition of The Parisian. The Parisian Macao continued to ramp up and grew its EBITDA by 8% sequentially on a normalized basis. The Parisian experienced double-digit sequential volume growth in both rolling volumes and non-rolling table game drop. Not only has The Parisian been successful as a standalone property, The Parisian also benefits entire Cotai Strip portfolio. The Plaza slash Four Seasons property in particular has experienced an uplift in visitation and business volumes since The Parisian opened, and the bridge between Four Seasons and The Parisian, which averages approximately 20,000 crossings per day was completed. Mass gaming revenues grew by 15% over the prior year and retail tenant sales grew by 7% over the prior year despite the increase in the supply of luxury retail in Macao. This year marks the tenth anniversary of The Venetian Macao. When it opened in August 2007, The Venetian stood alone on Cotai. Its opening marked the first step in my vision to create the Cotai Strip. Within 10 years, Cotai has gone from zero to around 60% of Macao's overall gaming revenues. Non-gaming industries such as retail, MICE, and entertainment are now well established in Macao and will continue to flourish and grow. Meanwhile, The Venetian Macao has become the most visited integrated resort in Asia. The addition of The Parisian to our Cotai Strip development really takes our critical mass and diversity of offering to another level. This is the only MICE space integrated resort complex of this scale in the world. We remain fully committed to play the pioneering role in Macao's transformation into Asia's leading business and leisure tourism destination. In summary, we regard it as a privilege to contribute to Macao's success in realizing its objectives of diversifying its economy, supporting the growth of local businesses, providing meaningful career development opportunities for its citizens through our Sands Academy and reaching its full potential as Asia's leading business and leisure tourism destination. We have steadfast confidence in both our and Macao's future success. At Marina Bay Sands, we delivered a solid quarter with EBITDA of US$365 million. When measured in Singapore dollars, our mass win per day for quarter one was the second highest quarter since the opening of the property. At the same time, Marina Bay Sands continues to serve as the most important reference site for emerging jurisdictions that are considering large scale integrated resort developments. Our Las Vegas operations generated EBITDA of US$122 million in this quarter, our best quarter in Las Vegas since the first quarter of 2008. Record convention and group meeting business helped generate our strongest EBITDA, hotel ADR, and RevPAR since 2008. Now let's move on to my favorite subject, the return of capital to shareholders. Yay, dividends. As you may recall, the Las Vegas Sands Board of Directors last year approved an increase in our recurring dividend program for the 2017 calendar year to $2.92 for the year, or $0.73 per quarter. The 2017 dividend increase marked the sixth consecutive year that we have increased our recurring dividend. We remain committed to maintaining our recurring dividend programs at both Las Vegas Sands and Sands China, and we remain committed to increasing those recurring dividends in the future as our cash flows grow. At the same time, we will remain opportunistic in returning excess capital through our share repurchase program. We repurchased US$150 million of stock during the quarter, and we look forward to continuing to utilize the share repurchase program to return excess capital to shareholders and to enhance long-term shareholder returns in the future. Yay, buybacks. In conclusion, our cash flow generation continues to be strong and predictable. The resurgence of growth in the Macao market has continued during the quarter. The structural advantage from our scale, critical mass, and product diversity is evident in our strong financial results, both in Macao and globally. We continue to maintain our position as the number one EBITDA producer in Macao, the number one gaming and integrated resort developer company in the world. We look to the future with confidence. We have a strong organic growth outlook, and we are in a great position to pursue new development opportunities. And we have both the intent and the financial strength to continue to return excess capital to shareholders. Thank you for joining us on the call today and now we'll take some questions.
Operator: Your first question comes from the line of Stephen Grambling with Goldman Sachs. Stephen, your line is now open.
Stephen Grambling - Goldman Sachs & Co.: Hey. Thanks for taking the questions. I guess on Marina Bay Sands, can you give us any thoughts or progress on monetizing the retail assets there and how you would think about allocating that capital now that you've initiated the buyback program? Thanks.
Patrick Dumont - Las Vegas Sands Corp.: Hey. How are you? It's Patrick. Good to hear from you. So it's still very early on. There's a process that we're hoping to engage in and we look forward to reporting back with more information as we progress in that process. But there's really not a whole lot to report right now in that regard. In terms of return of capital, hopefully we'll be able to get some of the results that were discussed on prior calls at a cap rate that's very attractive. And when we obtain that capital if we're able to get through with the sale, I think at that time we'll take a very close look at our return of capital program and evaluate enhancing shareholder returns through using that capital. So if there's a high growth rate project available to us in a new jurisdiction that could help fund that type of development, although, depending on the time of those cash flows, it may create more of an opportunity in return of capital. So that's something that we'll discuss with the Chairman and something we'll discuss with the board. But I think, at this point, all options are on the table.
Stephen Grambling - Goldman Sachs & Co.: Great. And then bigger picture, how do you think about the capacity at the properties in general and the potential impact from infrastructure projects that are poised to come online over the next year or so?
Robert Goldstein - Las Vegas Sands Corp.: At Marina Bay Sands?
Stephen Grambling - Goldman Sachs & Co.: In Cotai.
Robert Goldstein - Las Vegas Sands Corp.: Oh, you mean Cotai. Okay. Why don't you repeat that one more time, Stephen, if you would?
Stephen Grambling - Goldman Sachs & Co.: Just looking for a little bit of bigger picture thoughts on the capacity of your existing properties and how to think about the potential impact from the infrastructure projects that are coming online and maybe you could tie into margin kind of targets for some of the properties that just came on.
Robert Goldstein - Las Vegas Sands Corp.: Sure. Well, let's start with the long-term view of Macao which we view extremely favorably. Infrastructural improvements including new ferry terminal are imminent; the bridge is probably 2018. Two more Cotai properties will open up in 2017/2018. But from that point forward, you see a capacity constrained as a more new capacity coming onboard from a gaming perspective. It could be additional lodging capacity. So we view Macao in the most favorable way. We see a fixed amount of capacity in the gaming side, perhaps a little less so in the lodging side. We see more visitation, more penetration from mainland China into Macao. We see the emergence of a stronger and growing Cotai. So I think – well, again, penetration's critical. We couldn't be more positive in how we see the market. But we see it as based on capacity, based on our ability to grow our market share in the most important section which would be the mass tables and slot machines. To your reference in our deck, pages 13, 14, 15, you can see we had very, very strong growth on a Q-on-Q basis. The numbers are really compelling and we think that's the segment we do best in. 30% growth in the premium mass tables win by quarter and 9.4% from the base mass. So that bodes very, very well. The flow-through, as you know, the margin on that business is extraordinary. Look, we couldn't be more bullish on the future of Macao. We see great infrastructural improvements. We see great opportunity to penetrate China further. We see limited capacity beyond the opening of MGM and SJM projects. So look, as the largest, we believe a rising tide will carry all boats and we have a very large boat in Macao. So we're very bullish on our prospects over there.
Stephen Grambling - Goldman Sachs & Co.: Thanks. And on Parisian specifically, I guess any sense for where those margins could go as it continues to ramp up? Thanks.
Robert Goldstein - Las Vegas Sands Corp.: Sure. Parisian had a interesting quarter. It did $82 million, which at first glance is under we hope it to be. But if you rethink The Parisian from a few different perspectives, the first being that we grew in every segment. Most importantly, we grew in the 9.8% Q-on-Q and mass tables from $895 million to $983 million in the drop. We again held poorly. We held 18.2%, well below the range. Probably cost us $30-plus million in revenue, which is disappointing, but that's life in our business. Our slot business Q-on-Q grew 6%. Our junket business grew 24%. It's clear to see that The Parisian is just a winner. The question is how far can we ramp it. When we get a little bit lucky and hold better and we get some more – frankly, we get some the hold percentage coupled with, thinking, look at the composite mix of our slots, tables, and also our room mix. We were surprised by the amount of premium mass demand. We grew 30% in the premium mass segment Q-on-Q at Parisian. We're rethinking our suite mix there, looking at other CapEx, ways to make the product better. We're thrilled with the exterior of the product. We're thrilled with the interior of the product. We have to rethink some of the room mix perhaps, but The Parisian has got a very, very long shelf life and I think the growth there is imminent. We'd like to see it get to $500 million-plus in the future. We have a lot of confidence in it. The margins will move when the hold percentage moves up, and frankly we start beating some of the people that come to gamble with us. The participation, though, and the occupied tables are extraordinary. The cover counts walk in, they're extraordinary. We're rethinking some of the retail and food product. But suffice it to say we're off to a very encouraging start. And I think $350 million, $400 million is a starting point; $500-plus million's a destination point.
Stephen Grambling - Goldman Sachs & Co.: That's helpful color. I'll jump back in the queue. Thanks.
Robert Goldstein - Las Vegas Sands Corp.: Thank you. Appreciate it.
Operator: Your next question comes from the line of Shaun Kelley with Bank of America. Shaun, Your line is now open.
Shaun C. Kelley - Bank of America Merrill Lynch: Great. Thank you and good afternoon, everybody. Rob, maybe to follow-up on that, on the last point on The Parisian. Could you just give us just a little bit more color on either incremental capital investment or the things you could do to get to that $500 million target? I mean just a little bit more specificity there would be great.
Robert Goldstein - Las Vegas Sands Corp.: Sure. Well, first thing that I'll reiterate, we're thrilled with the growth in all segments. I just, when we look at the numbers, to see mass table growth and junket growth like that, it's pretty – we're delighted with that part of the business. Again, in the margin side, I'll reiterate that it's nice to win some money. So $30 million, $40 million more would helps the margin side. But looking at CapEx, showing how we think about that property, every time you open a new property, there's never been one open I can remember in all the years I've done this, where you don't go back and rethink some things you did better or worse. I think the food mix; we need more affordable food product. And we've got to look at some more food court expansion. There's some retail successes and retail failures. But I think the retail's got some rethinking to do. And perhaps, most importantly, I guess we're delighted, but surprised by the amount of high end business once asleep there. We're overwhelmed with demand in quality rooming supply, very frankly. So we're looking at the mix. We're going to talk about how we rethink the mix on these suites to get more premium mass in the door because we are – as you know, we're firm believers that's the path forward to us getting to $500 million in all of our products. We believe in premium mass and mass. We're fans of the junket business, but our strength has always been mass, premium mass. So the path forward is look at the retail, look at the food, look at the room mix. Perhaps add some more suite capacity and continue to grow that new hotel. We're excited by the exterior, which we think is one of the best things in Macao. And we're excited by the cross-traffic out of Venetian and The Plaza into The Parisian. So really feel bullish about where The Parisian can go from here.
Shaun C. Kelley - Bank of America Merrill Lynch: Thanks for that. And then you alluded to the second part of my question which is probably more broadly across the Macao portfolio. But the big surprise, it looked like, in Q1 was just how much VIP business kind of re-entered the market. And when we look at your Rolling Chip volumes, I think including The Parisian, they looked like they were pretty much flat year-on-year. So just overall, while clearly that's not the core strength of LVS, I mean, is there a point at which you begin to re-evaluate or think about re-engaging some of those junket partners and tweaking the product a little bit to focus on that segment a little bit more?
Robert Goldstein - Las Vegas Sands Corp.: Unequivocally. I couldn't agree more with you. I think we need to go back and readdress it. We have been – we want to be more involved in that segment. We still think we get not enough credit for the business we do. And we make a couple – $300 million, $250 million a year in slots and in ETG. But to your point, as much as our focus is mass and premium mass, we should go back and address how we do better. The results in town make us rethink that. We spent some time looking at that. And there's no way to deny that we should be doing better and can talk to our partners and say what can we do to improve our Rolling Chip volume externally with the junket partners. So, yeah, there's no way to hide from the fact that's a point we could do better at and something we'll focus on. Again, my only concern there is I think the growth in that market, in that segment, benefits us in a strange way in that it adds more liquidity in the premium mass business which we grew at 30% year-on-year. I think part of the value of the junket segment is the liquidity it adds to the market in that other segment which we do participate in, not to deny we'd like to do better in junkets. Although the flow-through is not as exciting as our mass, premium mass segments or near to what our slot business, but still, why leave money behind? So one of our points of interest in the next few weeks is to sit down with our partners and readdress how we can do better, yes.
Shaun C. Kelley - Bank of America Merrill Lynch: Thank you very much.
Robert Goldstein - Las Vegas Sands Corp.: Sure.
Sheldon G. Adelson - Las Vegas Sands Corp.: Remember that – this is Sheldon – remember that the percentage of, it goes down to the bottom line for us of EBITDA from the VIP, the rolling business, is less than a quarter of the percentage of the premium mass and the mass. So it's not really very enticing to push the business out from premium mass to the VIP or to the junket business. And it's just not that exciting to me, but we shouldn't pass up any opportunity to make any money, so that's what – that's what Rob was referring to.
Robert Goldstein - Las Vegas Sands Corp.: Yeah.
Operator: Your next question comes from the line of Joe Greff with JPMorgan. Joe, your line is now open.
Joseph R. Greff - JPMorgan Securities LLC: Good afternoon, guys. Can you hear me, okay?
Robert Goldstein - Las Vegas Sands Corp.: Hear you good, Joe.
Joseph R. Greff - JPMorgan Securities LLC: Great. Rob, given the strength of the VIP market in Macao, obviously, you're not necessarily seeing it in the 1Q numbers, but are you starting to see that segment in Las Vegas pick up? And are you seeing incrementally more mainland Chinese VIP players flocked to Marina Bay Sands?
Robert Goldstein - Las Vegas Sands Corp.: I'll start with Las Vegas. Joe, our approach in Las Vegas, we're seeing a better gaming environment, but I think it's still dwarfed by the power of the lodging story in Las Vegas. I'm not going to say there's not a pick-up here and there, but I don't think it's broad-based and I don't think it's that impactful. We're still in Las Vegas experiencing nice. We had a great quarter. We made some money in the VIP segment, obviously Chinese New Year's. We certainly made money in the slot business, but our focus in Las Vegas remains or our concentration to profit remains on the lodging side. We had a tremendous – we're back to – if I made it back to 2008 or 2007 in terms of ADR and RevPAR. So, yes, there's a lift, but I wouldn't consider it material at this point into Las Vegas from China. MBS, I've got to take a minute to just recognize how strong I feel about the performance there. I think it's extraordinary that we did $388 million normalized without having a strong VIP business over there. Frankly, what's really compelling about MBS is this is a product that it's a benchmark product for all new jurisdictions to look at, both aesthetically and from an operating perspective. In a rather difficult environment because of the downturn at GGR, headwinds from the currency perspective, I think MBS is just extraordinary to have a run rate of $1.4 billion, $1.5 billion, maybe better, to be the shining star in the development world and operational side of our business. I'm very proud of our results there, but no, it's not driven by VIP out of mainland China. The diversification, geographic diversification of MBS is just compelling. We deal with a lot more business coming out of Malaysia and Indonesia, Korea, Japan. In fact, I think last time I looked, the contribution from China fell to 20%, which is both terrific in one regard and also it might make for a good story when VIP reemerges into MBS. But you have to take a look at MBS and be – I'm very proud of our results there. $388 million normalized, $1.4 billion, $1.5 billion, $1.6 billion. A great mall sale on the horizon. It's just a great business over there. We lead the market in ADR. We're 70% of the EBITDA composite goes to MBS, and so I think it's just a great story all these years later. And it's not really being helped that much by VIP at China from both a rolling or non-rolling perspective. So that's the story as far as how we see MBS and Las Vegas.
Sheldon G. Adelson - Las Vegas Sands Corp.: Using that as a reference site, everybody in Japan, Korea, those places that have yet to legalize IRs with the gaming, they're all referring to Singapore. They want an MBS-type integrated resort and it is the reference site for the entire world.
Robert Goldstein - Las Vegas Sands Corp.: Yes. No question. Anytime we get a new jurisdiction or visit, tours government or businesspeople, it's always MBS they refer to aesthetically, and frankly, operationally. And it's a great product for us. We're very proud of our success there.
Joseph R. Greff - JPMorgan Securities LLC: I was going to ask a follow-up question regarding The Parisian but then Rob you piqued my interest in talking about the retail mall sale in Singapore. If you mentioned it earlier in the call, I missed it. I guess where are you in that process?
Robert Goldstein - Las Vegas Sands Corp.: I'll defer to Patrick on that, Joe.
Sheldon G. Adelson - Las Vegas Sands Corp.: Before we get there, I want to point out to you that I want to repeat, $118 million, that's about a $500 million run rate. And if we were to achieve in Macao, not Singapore, Macao, a 3% cap rate, and I think that's achievable, that's a lot of money. Nobody, may a lot of money. Nobody ever thought that our mall business would put us in the same business as some of the mall operators, and it's actually it's a consumer attraction for us.
Robert Goldstein - Las Vegas Sands Corp.: No question.
Sheldon G. Adelson - Las Vegas Sands Corp.: And even if we sold it, that's $500 million and it's still some growth left to come. And we've asked the government for permission to expand our retail in a separate standalone shopping mall. So I feel very, very good about the value. If we do a good deal on Singapore, which I'm convinced we will do, then we may consider Macao.
Patrick Dumont - Las Vegas Sands Corp.: So, Joe, I think the important thing about MBS is it's, in our view, the most iconic retail asset in the world. It's very well known. It's very well photographed. It has a tremendous level of productivity and we feel that it will draw a significant amount of interest from the people who invest in these types of assets. That being said, we're very early on in a process that still needs to be established and there's still a lot of work to do. But we're happy that we're engaged in the process, and we'll report back as we have more information. But as a practical matter, we're highly confident there'll be a lot of interest. That being said, one thing to note is that we intend to maintain control of the mall. It's a very important asset for us. And we think that it's important to maintain control of the mall asset in Singapore, even if we're able to find a third-party investor in it. But right now, early on in the process and really nothing to report on that front.
Joseph R. Greff - JPMorgan Securities LLC: Thanks, guys.
Daniel J. Briggs - Las Vegas Sands Corp.: Thanks, Joe.
Operator: Your next question comes from the line of Thomas Allen with Morgan Stanley. Thomas, your line is now open.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hi. Just related to Macao, can you just talk a little bit about your current mix of cash versus comped rooms and the potential opportunity there over time? Thank you.
Sheldon G. Adelson - Las Vegas Sands Corp.: Well, compared to the, say, in Macao, we're doing very well in Singapore. We're improving significantly here in Las Vegas. So in Macao, what we've learned is our competitors, the other five operators, concession holders, they give away most of their rooms. We don't. We sell a lot of our rooms for cash. Do you know the percentages, Rob?
Robert Goldstein - Las Vegas Sands Corp.: We're about 50/50. But I think, I think, Tom, is the key over there is, as Sheldon referenced, is that most of our competitors aren't in the cash rooms selling business. They're more on the comps side. With our size portfolio, we have a mix. It depends on mid-week, weekend. We like to give away more rooms with the right qualified customers. We're happy to give away rooms for the right customers and we're happy to sell the rooms for the right number. We're pleased that we stayed, I think, pretty strong in the overall cash side. We have a very strong outreach program. We've been doing this for a long time, well before anybody else got to Cotai. We've been selling cash rooms for the last decade. The mix will move based on market demand. We're very clear we want to bring more casino guests in, but we have 13,000 keys every night to sell or comp. It's a lot more than those who have got a couple thousand. So we're a lot different I think than the usual hotel casino in Macao.
Daniel J. Briggs - Las Vegas Sands Corp.: The other point to make, too, as we've comped more rooms with The Parisian being opened, number of rooms is up. The percentage is relatively flat, but the actual productivity of those rooms on the gaming floor has actually been going up as the market has recovered, as the premium mass has continued to grow that we're seeing the ADT for those comp customers actually increase over time. So it's a good investment for us to put those customers into the rooms.
Thomas G. Allen - Morgan Stanley & Co. LLC: Helpful. Thank you. And then just a follow-up question on Macao; obviously, you're more focused on the mass market. But just related to VIP, there have been some articles out about how the DICJ is auditing the credit issuance records of the junkets. How are you thinking that could affect the market in general? Thanks.
Robert Goldstein - Las Vegas Sands Corp.: We don't know, obviously, because we don't know what the extent of that is. We're very comfortable, again, that we've been in that environment for a long time. I think the head of the pack in terms of auditing and being careful with our partners to take the necessary – the regulatory requirement precautions. So whatever the outcome is, the outcome is. We have no way to determine that. I don't think in the end it's going to be that impactful, personally.
Sheldon G. Adelson - Las Vegas Sands Corp.: I think the Macao government is being prudent.
Robert Goldstein - Las Vegas Sands Corp.: Yep.
Sheldon G. Adelson - Las Vegas Sands Corp.: And being cautious. And they don't want any repeat of what happened before. And I take my hat off and I salute the Macao Government for doing so.
Robert Goldstein - Las Vegas Sands Corp.: Well said. Well said.
Thomas G. Allen - Morgan Stanley & Co. LLC: Great. Thank you.
Sheldon G. Adelson - Las Vegas Sands Corp.: Of course, it's well said.
Operator: Your next question comes from the line of Anil Daswani with Citigroup. Anil, your line is now open.
Anil J. Daswani - Citigroup Global Markets Asia Ltd.: Thanks very much for taking my question. Over the last couple of quarters, we've seen a lot of strength in the MICE business as well in Macao. Could you comment as to what percentage of room nights that now is taking up in Macao? And also, how that is affecting the base mass business?
Sheldon G. Adelson - Las Vegas Sands Corp.: I don't think that we have that number, the MICE business. But we are looking forward to a resurgent, if I can use that word, when the bridge opens. Bear in mind, when the bridge opens, Macao will have two airports, one in Macao and one called the Hong Kong International Airport covering 100 airlines, servicing 100 scheduled carriers and covering 180 cities with those 100 scheduled carriers. Look, I was in Macao recently and I tell you it was even tough to get into the General Aviation Terminal. So Macao is very strong. And – I'm sorry – Hong Kong is very strong. And that'll be when the bridge opens operationally at the end of 2017 and beginning of 2018, I think it – but nobody knows how that's going to affect everything. But being the expert on the MICE business, it's certainly going to open up Macao as a destination for MICE organizers.
Robert Goldstein - Las Vegas Sands Corp.: There's been two impediments to MICE growth. Just think about, one is, as Sheldon referenced, the bridge, and access to Macao makes it a very difficult thing for most large-scale organizations to consider. So that's been an impediment. The second is, our other hotel casino competitors, our associates over there, don't want to necessarily be in the MICE business in the past because they were playing mostly with the junkets and comp customers. So it was not really an issue. I think today, once the bridge is complete, this could grow a pretty material part of Macao's business, the same way 20 years ago people scoffed in Las Vegas that the MICE business and today they can't get there fast enough. It's going to evolve and get better with the bridge opening, and honestly, with more rooms available mid-week for other people beyond our portfolio to participate.
Anil J. Daswani - Citigroup Global Markets Asia Ltd.: Thank you. As a follow-up question, in terms of other regions in Asia, clearly Japan, can you give us an update there? And if there are any other major cities in Asia that you're currently looking at? Thank you.
Sheldon G. Adelson - Las Vegas Sands Corp.: We have been looking at other countries in Asia for a long time. They are not moving that fast. Japan is what everybody is talking about. We have been informed by people in the know in Japan that LVS is by far, not just marginally, but by far, ahead of the other competition as a candidate to get the IR approval. To the point where even a couple of people – I had a meeting last week with some Japanese here in Las Vegas, and they said that because of us the Japanese Government may even allow us, one operator, meaning LVS, to have an interest in more than one IR. And, of course, we would like – we've been told that we're in the pole position in more than one location. Well, I don't know whether or not the Japanese Government will allow a foreign company to have two IR locations. But then again, there is nobody out there that's an effective competitor with us.
Robert Goldstein - Las Vegas Sands Corp.: I think, look at our balance sheet and our development portfolio, it's a pretty compelling story and, of course, we have the appetite. So we're certainly hoping that Japan evolves for us. And we believe it's an incredibly important market. And there's nothing else really in Asia today to talk about that's at the forefront. I think Japan is the story at this point.
Anil J. Daswani - Citigroup Global Markets Asia Ltd.: Thank you very much, guys.
Robert Goldstein - Las Vegas Sands Corp.: Thank you.
Sheldon G. Adelson - Las Vegas Sands Corp.: But that doesn't mean we're not looking at other countries. We're certainly looking at Korea. We are looking at Vietnam. They're just starting to experiment a pilot program. We're not necessarily in love with the conditions or the three-year test period. We don't want to spend billions of dollars and find out in three years they've changed their mind and they're not going to allow locals in. So we want to see how that goes. And we are still active in lobbying in Thailand. So we're also looking at South America. And we're looking at a couple of, one in particular if something happens in New York, we certainly will be a candidate there. We're the largest gaming and integrated resort company in the world, by far. Our market cap equals or exceeds all the other Las Vegas companies combined. So we're what other people look to, other emerging markets look to, not being that familiar with our industry, they'll look to the biggest and the people that could bring the greatest benefit to them. And MICE is where our greatest benefit is. We are the MICE operators, and all of our properties are MICE-based. You can think of when we built The Venetian Macao, we put in an 800,000 square feet of exhibition space, and, save for the Canton Fair facility, we're the biggest facility. We were the biggest facility in China, the country of 1.3 million (sic) [1.3 billion] people. So where would emerging markets look to? Of course, they'll look to us first.
Anil J. Daswani - Citigroup Global Markets Asia Ltd.: Thank you.
Operator: Your next question comes from the line of Jared Shojaian with Wolfe Research. Jared, your line is now open.
Jared Shojaian - Wolfe Research LLC: Hi. Good afternoon. Thanks for taking my question. So I'd love to get your perspective on the mass market right now. It's growing but it's also now growing meaningfully slower than VIP, which really is actually growing a little bit.
Daniel J. Briggs - Las Vegas Sands Corp.: Jared, you got to go to page 13 in our deck. That's just, that's not factual. You can go to page 13 of our deck and take a look at the first quarter of 2017, you've got a mass table and slot business together that's growing at about 14% and a VIP market that's growing at about 12%. And the numbers that are coming out of DICJ are representing VIP and mass before you have the reclassification of mass that's within the VIP classification where smoking is allowed and it's a meaningful and important part of the market. And it's growing probably faster than any other piece of the market. So it's a mass component that's super-super important. And Rob can talk about that in a little more detail. But I wanted to make sure that is very, very clear to everybody on the call.
Sheldon G. Adelson - Las Vegas Sands Corp.: I'd like to make – I'd like everybody to make sure that the profit margin on the mass and premium mass is four times that of the profit margin of VIP. So we can grow four times assuming they're both above 50% of the market. The last DICJ report that I read was that VIP for the last quarter I think was 55% of the GGR, the gross gaming revenue. But assuming it's approximately 50%, the VIP has got to grow from a profit standpoint, and that's what we're interest in, four times faster and higher than the mass and premium mass market.
Jared Shojaian - Wolfe Research LLC: Okay. Thanks. And then just as a follow-up, as far as new smoking policy that's out there, can you talk about your expectations on that for VIP and from how you understand it, is this effective as of January 2018? Curious any color you can share on that.
Robert Goldstein - Las Vegas Sands Corp.: Sure. Yeah, I thinks it's pretty standard that with the thinking here is it'll be approved for 2018 with a one-year grace period, so probably it's Q1 2019 it kicks in, which is great from what this respect. It preserves smoking, which I think makes a lot of sense in any market to have a smoking component. It also allows the operators to build the smoking areas, the smoking rooms where people can go smoke on the gaming floor. Look, smoking, there is no way to deny that smoking and gambling in Asia is very important. It's important to a lot of the people gamble there. So you'll be able to preserve that smoking ability by those who do smoke on the gaming floors. Probably Q1 2019 it kicks in. There'll be the one-year grace period. Yet it's enacted by 2018 Q1, but actually happens in Q1 a year later of 2019. So we'll have smoking. It will be confined to smoking rooms. We will build a lot of smoking room capacity in the next 24 months to get there. And it's an essential component for us and other operators. It's one of the big negatives in the newer buildings on Cotai. The lack of smoking is a big differentiator and hurtful to the business volumes over there. There's just no denying the appeal of smoking to a lot of Chinese consumers.
Jared Shojaian - Wolfe Research LLC: Okay. Thank you very much.
Robert Goldstein - Las Vegas Sands Corp.: Sure. Thank you.
Daniel J. Briggs - Las Vegas Sands Corp.: Thanks.
Operator: Your next question comes from the line of Harry Curtis with Nomura Instinet. Harry, your line is now open.
Harry Curtis - Nomura Instinet: Thank you very much. I wanted to go back to Vegas for a moment. Very strong pricing in the first quarter probably helped by CON/AGG. Can you give us a sense for the balance of this year and also next, particularly with the opening, the re-opening of the Moscone Center and then eventually Ryman in Colorado? Give us a sense of your view on what a reasonable rate of room pricing growth should be over the next couple of years.
Sheldon G. Adelson - Las Vegas Sands Corp.: You're talking about two different things. You're talking about the MICE business and whether or not there's competition from Denver and San Francisco. San Francisco and Denver have been there for a long time, period. The growing of facilities doesn't necessarily bring in additional events. What it usually does, my having spent 17, well, 43 years in the MICE business both as an organizer and as a supplier of facilities, what usually happens is they don't bring in additional shows, and maybe once in a while they get a very small show. But they don't loosen up dates. The existing shows grow and they want more space. So if they're building additional space, most likely a lot of it, I can't tell you what percentage, but more than 50% will be taken up by existing shows. And you still can't compete. These other countries, sorry, these other cities cannot compete with Las Vegas. Denver is still Denver no matter how much space they got. And San Francisco is still San Francisco, period, and although they're two great cities, they're not Las Vegas. People come to Las Vegas just to be entertained. The LVCVA put out a number, like, some time ago that said that only 14% of the people that come to Las Vegas come to gamble. So people come here for non-gambling. They come for bachelor parties, bachelorette parties. They come here just to enjoy what Las Vegas has to offer. And before I was in the business, I used to come for what Las Vegas had to offer. And other cities building, first of all, I don't know if you know that they've already built them or they're going to be finished and imminently, but it isn't going to make any difference. The city is still the city and expansion will be taken up mostly by, I'm not saying 50/50, I think it's much more than 50% by the existing shows that are growing.
Robert Goldstein - Las Vegas Sands Corp.: Harry, it's Rob. I just think that, I think Sheldon's comments are spot-on. I think this city is unique.
Sheldon G. Adelson - Las Vegas Sands Corp.: You can say that again.
Robert Goldstein - Las Vegas Sands Corp.: I just think we're in a unique environment here. Great rooms, great diversity of pricing, great things to do, terrific weather. And in the last 20 years, all it does is it get better. I think the future here is very strong with the group business.
Harry Curtis - Nomura Instinet: And do you think that a couple of your operator colleagues in Vegas have established a 4% to 5% RevPAR growth target? Is that a reasonable growth rate assuming 2%-plus GDP growth nationally combined with no supply growth in Vegas?
Patrick Dumont - Las Vegas Sands Corp.: We don't typically establish long-term growth rates for any of our business that we talk about publicly, but as a practical matter, we see very strong growth in both room nights and contracted rates on the forward calendar. But we won't comment on any growth rate. Our business will continue to grow as the market continues to strengthen.
Sheldon G. Adelson - Las Vegas Sands Corp.: If you go to – I'm going to the San Francisco Bay Area and the average hotel price in a quality hotel is two to three, at least twice that of the best hotel in Las Vegas.
Robert Goldstein - Las Vegas Sands Corp.: Right. We are still cheap relative to other markets. I think Sheldon's point's well taken. This is still a bargain of bargains. You look at the quality of these hotels and what they have to offer compared to some of these hotels you sleep in the Bay Area and L.A. This is still a real bargain.
Sheldon G. Adelson - Las Vegas Sands Corp.: And paying two to three times as much money as the best room would go for here in Vegas.
Daniel J. Briggs - Las Vegas Sands Corp.: The high end of the market as well is where we operate. And some of our competitors with guidance out there have a much broader, deeper portfolio of low-end hotel inventory that they have to try to manage which is a different challenge than the one we have.
Harry Curtis - Nomura Instinet: That does it for me. Thank you very much.
Robert Goldstein - Las Vegas Sands Corp.: Thanks, Harry.
Operator: We have reached the allotted time for our Q&A and have time for one more question. And your last question comes from the line of Chad Beynon with Macquarie. Chad, your line is now open.
Chad Beynon - Macquarie Capital (USA), Inc.: Hi. Thanks for taking my question. Just one from me regarding Sands Bethlehem which has been impressive amongst the regional assets but still tiny for your overall contribution. Could you help us think about how this fits into your portfolio and the thinking and given the strength in your other markets, how this works into the three to five-year plan? Thanks.
Robert Goldstein - Las Vegas Sands Corp.: Well, clearly, it's a mismatch in terms of our Asia assets, even Las Vegas. But we also look for opportunities to invest our money intelligently. And I think Bethlehem represents a pretty extraordinary investment in terms of what we put into the market versus what it returns to us, although it's a small number, obviously, relative to our other assets. It's still a compelling investment. We're very proud of it. As you referenced it, it just keeps making more and more money and doing very, very well. I think it's the strongest producer of EBITDA in Pennsylvania. So having said that, I'll let Patrick talk about...
Sheldon G. Adelson - Las Vegas Sands Corp.: I don't think there are too many regional properties around the country, even here in Vegas.
Robert Goldstein - Las Vegas Sands Corp.: Right.
Sheldon G. Adelson - Las Vegas Sands Corp.: Bethlehem makes more money than some of the hotels.
Robert Goldstein - Las Vegas Sands Corp.: We make more money than most hotels. Yeah.
Sheldon G. Adelson - Las Vegas Sands Corp.: Hotels in Las Vegas.
Robert Goldstein - Las Vegas Sands Corp.: It does. It makes more than most hotels on the Strip. Patrick, you want to chime in?
Patrick Dumont - Las Vegas Sands Corp.: I think you covered it.
Robert Goldstein - Las Vegas Sands Corp.: Okay. So we like Bethlehem. We'd like to find, obviously to your point though, it's a mismatch relative to the – when you're running a $4 billion, $5 billion EBITDA business, the $150 million or so is not material. But it's still a good investment. We're proud of it. And it had a very strong quarter.
Chad Beynon - Macquarie Capital (USA), Inc.: Okay. Thank you very much.
Robert Goldstein - Las Vegas Sands Corp.: Thank you.
Daniel J. Briggs - Las Vegas Sands Corp.: Thanks, Chad.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.